Operator: Greetings. Welcome to PowerFleet's third quarter 2026 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please note this conference is being recorded. I will now turn the conference over to your host, Carolyn Capaccio of Alliance Advisors IR. You may begin.
Carolyn Capaccio: Thanks, operator. Good morning, everyone. This presentation contains forward-looking statements within the meaning of federal securities laws. Forward-looking statements include statements with respect to PowerFleet's belief, plans, goals, objectives, expectations, anticipation, assumptions, estimates, intentions, and future performance, and involve known and unknown risks, uncertainties, and other factors which may be beyond PowerFleet's control. These may cause its actual results, performance, or achievements to be materially different from future results, performance, or achievements expressed or implied by such forward-looking statements. All statements other than statements of historical facts are statements that could be forward-looking statements. For example, forward-looking statements include statements regarding prospects for additional customers, potential contract values, market forecasts, projections of earnings, revenue, synergies, accretion, or other financial information, emerging new products and plans, strategies, and objectives of management for future operations, including growing revenue, controlling operating costs, increasing production volume, and expanding business with core customers. The risks and uncertainties referred to above are not limited to risks detailed from time to time in PowerFleet's filings with the Securities and Exchange Commission, including PowerFleet's annual report on Form 10-K for the year ended 03/31/2025. These risks could also cause results to differ materially from those expressed in any forward-looking statements made by or on behalf of PowerFleet. Unless otherwise required by applicable law, PowerFleet assumes no obligation to update the information contained in this presentation and expressly disclaims any obligation to do so as a result of new information, future events, or otherwise. Now I'll turn the call over to PowerFleet's CEO, Steve Towe. Steve?
Steve Towe: Good morning, everyone, and thank you for joining us today. From an execution standpoint, Q3 was another strong quarter and an important one in demonstrating the consistency of delivery we are now seeing across the total combined business. We continue to make progress in the areas that matter most: accelerating high-margin recurring revenue growth, expanding profitability, and strengthening our balance sheet, all while maintaining disciplined execution. This quarter clearly shows the operating model we are building: focused, disciplined, and designed to deliver profitable accelerated growth scale. As we previously articulated, the heavy lift of integration is fundamentally behind us. We have been clear in recent earnings calls about the growth milestones we have set for ourselves. For some time, we have been signaling a Q4 exit run rate for FY '26 of 10% total revenue growth north of 10% growth in recurring revenue. Based on our performance exiting Q3, we feel confident in achieving those milestones, which gives us the desired momentum to press our foot on the growth accelerator in FY '27. Next slide, please. It's important to note that it's the first quarter in which our year-over-year results reflect the combined businesses. Stepping back and looking at the quarter, the key themes are increasing ARR growth, consistency, and balance to our performance. Service revenue grew 11% year over year and now represents 80% of total revenue. Total revenue increased 7% year over year, reflecting solid underlying organic performance with the prior year comp benefiting from $2 million in accelerated product revenue as per the US GAAP change communicated on the Q4 FY '25 earnings call. This means on an apples-to-apples basis, total revenue growth was 9% year over year. At the same time, adjusted EBITDA increased 20% year over year, driven by top-line growth with adjusted EBITDA margins expanding by 4% to 23%. Moving to the balance sheet, where net debt to adjusted EBITDA continues to strengthen as we exited the quarter at 2.7 times. This combination of growth, margin expansion, and balance sheet improvement reflects a business that is scaling and executing against clear priorities, and it reinforces the strength of our Unity strategy and the scalability of our Unity platform, giving us clear line of sight to accelerating growth in FY '27. Next slide, please. In Q3, we secured a truly landmark win for a highly meaningful South African public sector contract to deliver AI video and visibility services to government fleets collectively operating more than 100,000 total assets. The agreement is anticipated to represent one of the largest deployments in our history and is expected to generate meaningful recurring SaaS and services revenue with solid margins over a multiyear term. Following a phased implementation, preliminary department enrollments are highly encouraging and ahead of initial internal expectations. This award reflects the increasing scale at which government agencies are adopting data-driven fleet technologies in partnership with tier-one providers. Programs of this size typically anchor long-duration customer relationships and create a foundation for additional software and analytics adoption over time. Under this program, we will deploy Unity, including advanced visibility and AI video capabilities, to enhance safety, security, and situational awareness across a large-scale operational estate. A key differentiator in winning this contract was our partnership with MTN, which provides the scale, connectivity, and platform support required for a deployment of this magnitude. This award underscores our ability to meet the demanding requirements of tier-one customers and highlights the strength of our partner ecosystem in delivering reliable, scalable solutions. With that, I'll hand over to Jeff Lautenbach to walk through our commercial momentum and customer execution.
Jeff Lautenbach: Thanks, Steve. Great to be here. Turning to customer momentum, what stands out most to me is the impetus we're building due to our key differentiators. We're seeing continued acceleration across closed wins, pipeline growth, and our selection by some of the world's leading enterprise brands. This momentum is being driven by the unique end-to-end capabilities of the Unity platform and a much more focused enterprise sales motion. I believe we're still in the early stages of what's coming next. During the quarter, we secured multiple enterprise wins with total contract values ranging from $500,000 to more than $5 million. These include statement wins with national services, logistics, and infrastructure leaders, as well as multimillion-dollar contracts with Fortune 500 manufacturing and food and beverage companies. These are meaningful enterprise deployments, and they reinforce that great brands are choosing PowerFleet to solve real complex operational and safety challenges at scale. Increasingly, customers are engaging with us around AI-based safety and compliance solutions, on-site with AI pedestrian proximity, and on-road with our advanced safety-as-a-service AI video portfolio. Our unique ability to offer connected AI video intelligence both on-road and on-site through a single unified platform is a true differentiator and increasingly is winning us big deals. Customers are looking for enterprise-grade outcomes across their enterprise end-to-end estates, and we're uniquely positioned to deliver safety and compliance across the full operational environment. That momentum is also clearly showing up in our pipeline. Our AI video pipe build increased 71% sequentially, driven by strong demand for advanced safety, compliance, and visibility solutions across global accounts. We recorded our third consecutive quarter of in-warehouse pipeline growth in North America, reflecting sustained demand for on-site safety and AI pedestrian protection use cases. In addition, our ARR pipeline increased 13% sequentially, which gives me even more confidence in the durability and quality of our subscription-led growth profile. PowerFleet is exceptionally well-positioned to capture this momentum and carry it forward into FY '27 and beyond. Next slide, please. This slide really captures the scale and quality of our global key account momentum. Today, Unity is deployed across a wide range of industries, including energy, mining, industrial, humanitarian, security, and construction, supporting multinational, multi-continental Fortune 500 organizations around the world. These customers are operating some of the most complex and demanding on-site plus on-road environments anywhere and are using Unity to manage tens of thousands of assets and billions of miles driven annually across both on-road and on-site operations. What's most compelling to me is what we're seeing inside these global accounts: delivering measurable improvements in safety outcomes, operational efficiency, and enterprise-wide standardization. That success is driving deeper multiproduct adoption across regions and use cases. In particular, customers are increasingly expanding their use of our highly differentiated AI video SaaS solutions, leveraging our unique ability to deliver video intelligence on-road and on-site within a single platform. This is a core strength of PowerFleet. We are mission-critical to some of the world's largest and most sophisticated enterprises. As these customers expand globally and consolidate their vendors increasingly into Unity's ecosystem, we see a clear path to continued growth, deeper penetration, and long-term strategic relationships. Next slide, please. Before we dive into the specifics of this slide, I want to frame it in the context of our data highway strategy and share with you some great examples of how that strategy is coming to light in the real world. At its core, the data highway is about connecting fragmented data across the enterprise, harmonizing it, and then enabling it to be consumed, acted on, and monetized in multiple ways. Our customers depend on us to deliver unified real-time connected intelligence that transforms data into operational decisions, safety outcomes, and measurable business value. Unity is that connective tissue. What you're seeing on this slide is how that connected intelligence is surfaced through one of Unity's key consumption methods: unified operations, where people, assets, vehicles, and business processes are brought together into a single connected operational layer across fleets, warehouses, and end-to-end operational environments. Across Fortune 500 automotive, retail, logistics, mining, energy, and construction customers, we are integrating Unity with core enterprise systems. ERP platforms like SAP and Oracle, HR systems, learning and training platforms, maintenance systems, and IoT infrastructure. The objective is to automate compliance, improve asset utilization, enhance safety, and fundamentally digitally transform how work gets done at scale. I'll give you a couple of examples of how this plays out. In one common use case, customers are focused on operator safety and compliance in warehouse and industrial environments. Operator training and certification data typically lives in learning systems. Employment status and role information sits in HR platforms. And physical access to equipment is enforced through badges, gateways, and IoT-enabled machinery. Historically, these systems operate independently, creating manual processes, compliance gaps, and real risk. Unity sits in the middle as the data highway. We ingest operator-level data from HR and training systems, harmonize it into a single, real-time compliance record, and connect it directly to the operational access point. Every access request becomes an automated policy-driven decision. Instant approval or denial based on certification status, role, and location, with a complete audit trail. This result is safer operations, faster workflows, and provable compliance in real-time. In another example, customers are using Unity to unify mission-critical transportation and logistic processes. Execution lives in TMS platforms. Shipment planning lives in ERP systems, and safety and visibility data is scattered across telematics and IoT systems. Without a unifying layer, no single system has a complete view of the shipment lifecycle or performance per job. Here again, Unity acts as the data highway. We ingest shipment demand from ERP, orchestrate execution through TMS integrations, and layer in real-time vehicle, driver, and IoT data. That unified data stream enables real-time shipment management, automated milestone events, and direct correlation of safety and performance metrics to individual shipments and jobs. All one connected operational workflow. Unity is becoming embedded at the heart of our customer operations, across people, assets, and processes. That makes us increasingly strategic for the customer, highly sticky, and difficult to displace. And as customers expand globally or add new use cases, the value of the data highway compounds. The unified operation capability is a key monetization engine for us by enabling multiple consumption paths, safety, compliance, operations, sustainability, analytics into a suite of customer business systems for a wide array of C-suite and operational stakeholders. All from the same integrated data foundation. We drive broader deployments, higher ARR per customer, and long-term enterprise partnerships. This is a powerful example of how the data highway strategy translates into real operational outcomes and sustained growth. Next slide, please. This slide illustrates a long-standing customer relationship with Origin Energy. A fourteen-year customer operating 2,000 vehicles. Through a phased multiproduct deployment, from compliance through to advanced AI video, Origin has delivered consistent reductions in risky driving events and has enhanced its public reputation as a direct result of the safety improvements PowerFleet has driven for them. Today, the relationship has evolved into a unified data ecosystem enabling more predictive and proactive safety management. This is a strong example of how Unity allows customers to expand value over time through a single platform. As I step back and look across the business, what gives me the most confidence is how all of these elements are coming together. Accelerated customer momentum, deeper enterprise engagement, and a data highway strategy that is translating into real operational outcomes and expanding monetization opportunities. We're seeing this play out across global accounts with Unity becoming increasingly embedded in the day-to-day operations of our customers. This is an exciting moment for PowerFleet. We're building on a strong foundation, winning with great brands, and landmark tier-one deals, positioning the company for sustained profitable growth. With that, I'll turn it over to David Wilson to walk through the financials.
David Wilson: Thanks, Jeff. Before diving into the details for the quarter, a quick recap of the key pro forma adjustments. One-time expenses: This quarter's expenses include $2.3 million in one-time charges for restructuring, integrations, and transaction costs. Excluded from adjusted EBITDA and EPS for ongoing run rates. Amortization impact: Results include $5.7 million in non-cash amortization related to the MiX and Fleet Complete acquisitions impacting services gross margins by over 6%. Next slide, please. Now on to the detailed results. Where for the first time prior year comparison numbers fully reflect the impact of the MiX and Fleet Complete transactions. I'll start with services revenue. Our fleet's future is anchored in high-margin recurring SaaS revenue, and services grew 11% year over year, even as we continued to intentionally exit non-core revenue streams in line with our strategic focus. This progress is evident in our revenue mix, with services now accounting for 80% of total revenue, up from 77% in the prior year. Next slide. Turning to the full P&L, we continued to deliver strong top and bottom-line momentum. While headline total revenue grew 7% year over year, the prior year comparison included approximately $2 million of accelerated product revenue from contract and bundling at Fleet Complete, which ceased effective 04/01/2025. Normalizing for this, total revenue grew by 9% on an adjusted basis, underscoring solid underlying organic performance. Adjusted EBITDA increased 26% year over year to $25.7 million, driven by strong operating leverage and continued execution on integration and cost synergy initiatives. These results underscore the strategic rationale of our M&A actions supported by disciplined and consistent execution. Next slide. Adjusted EBITDA gross margins were stable at 67%, with a stronger services mix offset by higher services margin in the prior period. Product margins remained steady in the low 30% range. Turning to operating expenses, discipline remains a priority alongside continued investment to support growth. G&A as a percentage of revenue declined four percentage points, reflecting ongoing synergy realization and operating leverage. Sales and marketing expense increased as planned to support growth initiatives, while R&D remained stable at approximately 8% of revenue or 4% net of capitalized development costs. As investment continues in AI-enabled safety, compliance, and analytics. Looking at FY '26 as a whole, we expect the award of the large tier-one public sector tender that Steve discussed earlier to have a material positive impact on future revenue growth over time. Accordingly, we are maintaining operating expense investments to support the continued build-out of the business, which results in updated adjusted EBITDA guidance of annual growth of approximately 45% versus our prior guidance of 45% to 50%. Next slide. Closing on leverage, we exited Q3 with net debt to EBITDA of approximately 2.7 times. Based on current trends, we now expect leverage to decline to around 2.4 by year-end, compared to our prior expectation of approximately 2.25 times. With investments to support the landmark tier-one public sector win and working capital dynamics as key drivers. Last slide, please. To close, Q3 reinforces the progress PowerFleet is making as a focused integrated AIoT company that provides investors with a solid set of proof points that the accelerated growth trajectory planned for the business is coming into view. We are delivering consistent and improving high-value recurring revenue growth, expanding EBITDA margins, improving leverage, and deepening relationships with large, sophisticated customers. Importantly, we are doing so with discipline and operational consistency. Operator? Please open the line for questions.
Operator: Certainly. At this time, we will be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. One moment, please, while we poll for questions. Your first question for today is from Scott Searle with ROTH Capital.
Scott Searle: Hey, good morning. Thanks for taking the questions. Nice job on the quarter. It's nice to continue to see that double-digit SaaS growth. Hey. Maybe to dive right in, you know, could you provide a little bit more color in terms of the growth mix and contribution of new logos versus upsell and penetration of things like AI camera and warehouse? You gave some metrics, I think, in terms of the pipeline, but could you give a little bit more color in terms of the mix of the revenue stream, who's contributing? Also, as part of that, I don't know if I heard a number related to some of the MNO relationships, you know, what that's contributing now, how that's progressing across some of the different geographies? And maybe early thoughts on fiscal '27 SaaS growth. I know the target is 15%, but kind of how are you seeing that now as we're going into or getting close to going into '27, particularly with, you know, this large contract win in South Africa? And then I had one follow-up.
Steve Towe: Thanks, Scott. I'll try and work through that as we get. So in terms of mix, no kind of real change. So, you know, 65-70% of our business from existing core customers, 30% from new. The new logo pipeline is developing nicely. I think Jeff showed you, you know, a lot of the wins that we'd had from existing accounts. But, you know, we're bringing over some new accounts, obviously, most notably the South African government, which I will talk about as we go. And if we talk about strength within the MNOs, then, you know, if you look at the profile of our revenue, and where we get strong, recurring revenue growth, that is through those channels. You know, there's a lot of that come through those channels, which is super positive. And in terms of that large win, then, you know, in partnership with MTN, the strength, the relationships that MTN has, you know, has really kind of, you know, I think given a lot of confidence to tier-one customers such as the South African government to look to place, you know, an absolute landmark, contract for the business. In, you know, in FY '27 and longer. So, overall, you know, that's for FY '27. I think we've pegged, you know, kind of 15% ARR growth, and that's before we kind of think about this new contract and this new opportunity that we have ahead of us. So we're very bullish. We're very excited. Both with the core business. I think, you know, if you you've heard Jeff talk about, you know, strong ARR growth. Large enterprise expansions, global accounts, you've heard a lot about the stickiness. From a retention perspective, our ability to, you know, really fuel that top line. And I think, you know, what's most pleasing is we're doing that responsibly. You know, that meets kind of double-digit team's growth is kind of where some of our larger competitors are pegged today, but we're doing it in a far more responsible way in terms of, you know, the ability for us to drive EBITDA at the same time. So we're very encouraged by the business as a whole. And I think if you think about where we started this strategy for the business of expanding partnerships, expanding into large Tier 1s, expanding our account base through AI video, and in warehouse solutions, which are those key drivers. I think it's undoubtedly that those drivers are now being seen, in reality in the numbers we're producing and, you know, our future opportunity.
Scott Searle: Great. Very helpful. And, Steve, if I could just from a high level, certainly, the narrative of AI and the impact on the world and what's that doing to the software environment. I'm wondering if at a high level, you could address a few things. In terms of, you know, AI's impact in terms of the importance of fleet management unity type platforms going forward, competitive threat or complementary, obviously, since you're integrating it into the platform and the capabilities, but also things like autonomous vehicles, where they kind of fit into the equation and the long-term opportunity for PowerFleet and the industry.
Steve Towe: Yeah. So we see AI as an enabler for our industry. So I think one of the challenges within the industry is it's produced too much data. And then it's been hard for customers to kind of wade through all of that data in order to understand how we can make business change. You know, the AI abilities we're bringing into the platform allow us to do that, provide very meaningful simple data to customers that they can access in real-time. The accuracy of the data and being able to kind of look to the raft of data to understand key trends in their business is only going to be helpful to what we do. So and we're seeing that in terms of the business impact that we're able to provide for customers. So on the whole, we see it as a net add. From that perspective. Then in terms of the world of autonomous vehicles, and robotics and all of that stuff, our place remains in, people need to understand what those vehicles are doing, where they are, how they're performing, etcetera, etcetera. So it will be an evolution just as technology is always an evolution for us. But we see that as one as the place where PowerFleet placed in the ecosystem will remain and potentially grow off the back of that.
Scott Searle: Great. Thanks so much. I'll get back in the queue.
Operator: Your next question is from Anthony Stoss with Craig Hallum.
Anthony Stoss: Good morning, everybody. Steve, I'm just from a bigger picture standpoint, is the business environment better, the same, or worse now than it was six months ago? Then I have a couple follow-ups.
Steve Towe: For us, it's improving. So I think, you know, that's a number of things. I think PowerFleet is improving, number one. I think six months ago, we were, you know, or a bit maybe a bit longer, we were still sort from tariffs. And I think we've been able to find our place to fight and our place to win in the market. Marketplace. So I think, you know, we've found our foothold in terms of, you know, where our solutions can be really effective. We're using our geographical spread in terms of being able to, you know, get growth across multiple verticals, multiple geographies, which I think is also helpful. And I think if you look at the compounding level of enterprise business we're doing, that's because we've been, you know, to our earlier point about can we create business change? Can we create impact on businesses? We're really doing that. So, you know, that is helping them with repeat business. You know, referenceability from our accounts. So that, you know, when you get tangible ROI, when you get the results, I mean, you remember some of the videos we put out in November about the tangibility of what our large customers are receiving. In terms of benefit from our solutions, then that brings a lot of confidence. Brings confidence in our sales teams, and we start to get that momentum. And that's really what we're seeing play out now is that momentum.
Anthony Stoss: Got it. And then my last two questions. Can you maybe just provide us an update on the AT&T reps if they're fully trained and productive on all of your products now? And once it's fully ramped, how much revenue annually will the South Africa contract bring in?
Steve Towe: Yeah. So I'll answer your second one first. So we're not allowed at this point to provide any financial information. But what I would suggest to analysts and investors is, if you look at bundled solutions, and you look at our ARPUs, that we get, what I would say is this contract is within our suite range in both our ARPU and margin, and then you multiply that by the number of vehicles, and, you know, we have an ability to do more than 100,000 vehicles, then I think, you know, the math speaks for itself in terms of what this will mean from a recurring ARR perspective for the business over the coming years. Five-year contract start off, and the majority of these, if you do a good job, continue. So it's super exciting for the business and a, you know, it's a material contract for the business. In terms of AT&T, then I think we mentioned last time with the government shutdown, there was a taken a little time in terms of some accreditations of some video solutions. That will all be through, and the Salesforce will have that extra part of the portfolio in their hands for the April.
Anthony Stoss: Great. Thanks for the color, Steve.
Operator: Your next question for today is from Dylan Becker with William Blair.
Dylan Becker: Hey, gentlemen. Appreciate it. Maybe kind of double-clicking on the South African contract. You kind of just hinted at this as well too, but can you give us you're starting at or are you going to roll out to 100,000 customers or vehicles assets over time? You give us a sense to kind of look what that expansion opportunity could look like, how big of a slice or bite at the initial apple is this? And then maybe should we think about kind of the broader public sector opportunity within South Africa, but also kind of expanding across geographies over time as well.
Steve Towe: Yeah. So, I mean, this will be the single largest deployment that this company has done in one go at scale. I think that's undoubtedly a fact for the company. Secondly, in terms of what this will do both with further opportunity, whether that is broader within South Africa, whether that is broader with MTN across Africa, or it's broader in terms of public sector business. These types of awards are tier-one. This is being centrally done by a treasury department because in the past, you know, there's been some challenges within individual departments doing individual deployments with, you know, different competitors that maybe didn't have the scale or the capability to manage tier-one requirements. So this could be an absolute force multiplier for us. A huge, you know, I think, landmark we call it a landmark win. In terms of its ability to show the new PowerFleet, its scale, its partners. So, highly encouraged about what this could mean to the broader business over time.
Dylan Becker: Perfect. Thank you. And then maybe either for you or for David as well too, just kind of an update on where we are on the synergy road map here. Obviously, we've kind of recognized a significant amount that's allowing us to reinvest. And I know Jeff called out some pretty impressive pipeline statistics. So that's the right trade-off. But maybe how much room kind of on the synergy front versus now deployed and scaled leverage that you would see? And maybe a way to think about kind of some of the trade-off dynamics you're thinking about as we maybe think about sustaining kind of that growth acceleration into 2027? Thank you.
David Wilson: Yeah, Dylan. So clearly, we've made great progress. So in terms of where we were, we're targeting $18 million for the year. There was a real opportunity, I think, to do more than that. And just based on the growth that's flowing through. We've decided not to sort of rearrange the OpEx piece as aggressively as we otherwise would. So we have, in essence, a base to grow from. So that's been important. But in terms of the 18 guide that we gave, pretty much there in terms of where we were exiting the year. In terms of where we are, if you look at OpEx as a percentage of revenue, in terms of SG&A, we guided to 40% or so for next year. We're pretty much at 40% for this quarter. So we're on track. And now it's really about how do we reengineer the cost base so we're taking more dollars out of G&A so we can invest in sales and marketing, but good progress. And real optionality. In terms of how we grow the business. But for now, the focus is much more on how do we build a firm foundation for accelerated growth. And, clearly, with the deals that we're landing, the size and the scale, very well positioned to do that.
Dylan Becker: Fantastic. Thank you.
Operator: As a reminder, if you would like to ask a question, please press 1. Your next question for today is from Gary Prestopino with Barrington Research.
Gary Prestopino: Good morning, all. Hey, Steve. Could you maybe go into some of the expenses that you're going to be or some of the investments you're gonna have to make for this South African government contract just so we can get an idea of the magnitude of what you're spending to build the business as we go into twenty-seven.
Steve Towe: Yeah. So, if you think about a deployment of that scale, which as I said, is, you know, is a major deployment for the business and supporting those types of operations. And we're doing that in a relatively short period. So as I think we noted, the enrollment has been stronger than we maybe even imagined it was going to be. These things take time. You know, we've got to get through, you know, a lot of work in terms of coordination, but you have to ramp up in terms of people, process, and systems in order to take that weight into the business while at the same time, obviously, we're growing very nicely in the main portion of the business. So, you know, there'll be a number of investments. These will be not investments just around, kind of this one project, but also very much looking at how we can optimize the business and how we can create the business model that can take this level of scale, not just on this particular deployment, but on others that are in our pipeline as well. So, you know, I think David's kind of aligned the fact that, you know, right now, we're not going to kind of cut operating expenses any further, and, you know, we'll talk in coming earnings calls in terms of, you know, that investment level. But, you know, it's not material in order for us to do, but important for us to do to make sure that we do this really, really well. And we can spin the plates of the growth that we have plus this, you know, this amazing contract ahead of us. So but what I like about it is, as I said, it's gonna be investment, which is going to support the future operating model of the business, the efficiency in that, the effectiveness of that, we just, in the short term, need to obviously make some initial investments to make sure that goes super well, and we can match the demand and, you know, really do a nice job for the customer.
Gary Prestopino: Well, I guess what I'm getting at is it is it some is it a lot of it personnel related? Is it tech platform related? You know, not to lower your adjusted EBITDA guidance growth. And that's fine given the contract, but I'm just trying to get an idea or just think we need to get an idea of where that investment is coming from. What do you need more a lot more people to do this contract? Is it a tech platform issue? Is it what is?
Steve Towe: Yeah. So I'll just not handle so as I said, it's people, process, and systems, internal systems. So it's the advancement of our automation capabilities. It's adding some people on the ground. You know, whether that's from a deployment perspective, a support perspective, a relationship perspective. And it's also then looking how we can optimize business processes for efficiency. So all of that costs a little bit of money. To do upfront. And, you know, if we look at the level of investment concern versus the return, it's minuscule in terms of that investment. But David, why don't you give your coat? Color and context?
David Wilson: Yeah. Again, I think an important point to understand is really, what we're trading is a reduction in cost. So would it be more aggressive in terms of taking more cash cost out of the business in the fourth quarter? We're now, in essence, gonna repurpose that capacity. So as opposed to taking costs out, we have a great use for that cost base in terms of getting ready for faster growth than we had previously guided to. So you need to think about it through that lens as opposed to a lot of incremental investment going back into the business. There will be some but the vast majority of this is just really taking the dollars we're spending today because we now have a compelling use for them at putting it to use. And to see accelerated growth, you know, as we said in the November call as well, there is an opportunity we're willingly sort of sacrifice short-term EBITDA margin for accelerated growth because over time, if the accelerated growth that is the faster driver of shareholder returns.
Gary Prestopino: No. That's good. That's a great explanation. And then would it be safe to assume that this contract, once it's fully implemented, will be one of your if not your largest single contract?
Steve Towe: Yes.
Operator: Okay.
Gary Prestopino: Alright. And then just lastly, I saw the adjusted gross margin on the services side was down a little bit year over year. Was there any one-time benefits last year? Because as that services revenue starts to grow, we should get a pretty much a good continual expansion in the adjusted gross margin.
David Wilson: Yeah. So a couple of points. In terms of bringing all these businesses together, over time, there is some harmonization in terms of where all the costs are mapped. So there's a degree of remapping that's happened, Gary, in terms of gross margin. In terms of year over year, there are if you think about some of the business we pulled out, in terms of some of that rationalization, it was good margin business. But it was a massive drag in terms of edge case developments, which caused a lot of friction in terms of the road map. So there's a degree of that that's going on as well. But remapping is certainly a driver in terms of the year-over-year comps.
Gary Prestopino: Okay. Thank you.
Operator: Your next question is from Alex Sklar with Raymond James.
Alex Sklar: Great. Thank you. I got one more on the South Africa government contract. Just the mechanics of it. Can you just talk about is it an opt-in basis by municipal or department? Or is this a full commitment over time of the 100,000 vehicles? Is video safety and telematics both included? And is it kind of a fixed price per vehicle, or do you have to negotiate it by department or by municipality?
Steve Towe: Yeah. So it is led by the National Treasury. In terms of commitment and cost and pricing and all that stuff. So that is all done. It is a directive, not and what people are doing now is enrolling into that, which is where we have that enrollment discussion that we had earlier. So it's not a mandate for everyone to have. It is an enrollment opportunity. The enrollment so far has been super strong, and therefore, that's the level of business that we feel confident to talk about.
Alex Sklar: Okay. Perfect. And then we talked about some of the EBITDA cost from some of the higher growth investments. David, maybe just update us on free cash flow conversion of that EBITDA. Any other kind of cost that don't hit the EBITDA line that are kind of below the line just a factor for standing up some of the government contract or some of the faster growth investments fostering?
David Wilson: Yeah. It shouldn't be anything significant, Alex. In terms of what we're doing. And so no major impact on that front.
Alex Sklar: Alright. Thank you both.
Operator: Your next question for today is from Greg Gibas with Northland Securities.
Greg Gibas: Hey. Thanks, Steve and David. Thanks for taking the questions. Congrats on the recurring service growth. Wanted to follow-up on the South African Tier one win. If you could maybe speak to how competitive the contracting process was considering many providers aren't positioned to deliver on that level of scale and maybe any other key differentiators that are worth calling out that led to that win?
Steve Towe: Yeah. So a number of suppliers bid for this contract. It came down to a few tier-one providers because as I said, this was a previously kind of, you know, each individual department was doing their own contract. So this was the biggest single award that had been done, you know, compared to the past. So that had to be, you know, organizations that had high levels of robustness, scale, product solution, ability to deploy, and just, you know, from an overall, I think, not only relationship perspective but governance perspective had the right capabilities to perform at a very, very top level. I mean, across our industry, this is a major, major win for the company. So MTN was a key we're very proud. And as I said, our partnership with part of that. And to have that dual relationship, I think, was a strengthener. So, you know, this is something in terms of the Unity capabilities, our referenceability, local market presence, domain knowledge, our abilities to really kind of drive, you know, data harmonization results and quality ultimately because if you think of some of these government departments that this will reach to, you have to have really, really strong quality in the data and services that you provide because a lot of them are mission-critical. So all around, I think a true test to the new PowerFleet that we've put together. And its capabilities and its strategy in terms of working with tier-one providers with, you know, levels of uniqueness in our joint propositions and scale.
Greg Gibas: And to follow-up on kind of the cost side of it, you called out the initial investments associated with the deployment of the contract, you know, relating to people, processes, I think internal systems, kind of saying, hey. Trading down of a reduction of costs. But how much could you provide some color on how much is maybe recurring versus upfront that you expect those costs to be in Q4 versus recurring?
David Wilson: Yeah. A lot of it is it's obviously a major, major contract. And in essence, we can now use that to build highly efficient scalable processes. So you have this opportunity to really build a template for the business as a whole. So that's what we're focused on doing. But a lot of it will leverage the existing systems that we have in place today. So it really is just reengineering how we do business, doing it in a more optimal, more efficient, better way from both a cost standpoint, customer experience standpoint. And having had that template built and baked, we can then use that template globally as well. So it's virtuous in many different ways in terms of driving incremental value. For shareholders over time.
Steve Towe: And I'll just add to that that there's a lot more optimization that PowerFleet can do, is going to do across its operations. So we will continue over time to, you know, reduce costs across the business. It's just where our priority sits now. And we're actually, as I said, using this model and this deployment model to help scale that optimization across the business. It's just obviously, you know, with this growth opportunity, and the fact, I think, you know, we should also recognize we're ahead of the curve of where we thought we'd be in recurring revenue growth. Right? So that's another vector. I know we're focusing very much as we should do, on the South African contract. But, you know, the 11% growth, which is the first time that we've put out organic growth with an apples-for-apples 9% growth. And, you know, at the start of the call, I reiterated, you know, the 10% total growth and north of 10% ARR growth for Q4. So this is a business that is starting to flourish very nicely. And as we said all along, we need to make those, you know, really sound judgment calls of where to spend our time and where to put our dollars. And right now, with these kind of opportunities, we think it is a better value creation for shareholders to just throttle back a little bit on that true cost-saving exercise. As a trade-off for the growth opportunity that we have.
Greg Gibas: That makes sense. Thanks very much.
Operator: We have reached the end of the question and answer session, and I will now turn the call over to Steve Towe for closing remarks.
Steve Towe: So thanks, everybody, for joining us again today. I'd like to thank our colleagues, our customers, our partners, and our shareholders. We look very much forward to our next earnings call and repeated updates as to our progress. You. Have a great day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.